Operator: Good day ladies and gentlemen and welcome to the fourth quarter 2007 Universal Forest Products Incorporated earnings conference call. (Operator Instructions) I would now like to turn your call over to Miss Lynn Afendoulis, Director of Corporate Communications.
Lynn Afendoulis: Good morning and welcome to Universal Forest Products’ fourth quarter 2007 conference call. On the call today are William Currie, Executive Chairman, Michael Glenn, President and CEO, and Michael Cole, CFO. Please be aware that any statements included in this call that are not historical are forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended. Such forward-looking statements are based on the belief of the company’s management as well as on assumptions made by information currently available to the company at the time such statements were made. The company does not undertake to update forward-looking statements to reflect facts, circumstances, assumptions or events that occur after the date the forward-looking statements are made. Actual results could differ materially from those included in such forward-looking statements. Investors are cautioned that all forward-looking statements involve risks and uncertainties. Among the factors that could cause actual results to differ materially are the following: adverse lumber market trends, competitive activity, negative economic trends, government regulations and weather. These risk factors and additional information are included in the company’s reports on Form 10-K and 10-Q on file with the Securities and Exchange Commission. This call is the property of Universal Forest Products. Any redistribution, retransmission or re-broadcast of this call in any form without the express written consent of Universal is strictly prohibited. At this time I would like to turn the call over to Bill Currie.
William G. Currie: Good morning everyone and thanks for joining us on this cold wintry morning. I open the third quarter conference call by talking about our performance and successes under some tough market conditions and I guess I don’t need to change the script very much. It was more of the same in the fourth quarter except conditions were even more challenging if that’s possible. And the moves we made to pave the way to a solid future were even more aggressive and bolder. I don’t like where the markets are today but I do like where we sit thanks to our strong management team and our hard-working group of people. Because when the markets return, no company will be better positioned than Universal for powerful growth and success. Michael and his management team guided us through tough times with skill and patience and led us to market share gains in all four of our businesses. They made aggressive moves and decisions that will ensure we’re a stronger company moving forward. We’re continuing to face challenges. The housing market, that’s not going to do much improving in the upcoming year and enormous price pressure brought on by competitors willing to slice prices to extreme lows to get any business effectively destroying margins and the softest lumber market in decades. But we’re doing all the right things. We’re consolidating operations and taking advantage of synergies where we can. We are focused on customer relationships and on quality product service and old fashion values like loyalty, respect and a focus on mutual success. We’re continuing to diversify within our markets and we’re always evaluating new opportunities for growth, like expanding into new territories and adding successful operations, people and opportunity through acquisition. And because we know Universal’s a great value, we bought back over 0.25 million shares in the last six months of ‘07. Because of our current acquisition activity we haven’t been in the market recently, but we will be again when we can. These are tough times, but the light at the end of the tunnel is starting to get a little brighter. That’s partly because the turnaround is inevitable. The Fed is working properly, and partly because Mike Glenn and his team are doing all the right things to position us for success when the markets return. Mike Glenn will talk more to you about our performance and our strategy and outlook for 2008. But first I will turn it over to Mike Cole for a review of our numbers. Mike?
Michael R. Cole: Thanks Bill. I will start by reviewing our income statement for the quarter. As you noticed in the press release, our total sales for the quarter increased by 3%. We estimate this was comprised of a 6% increase in unit sales offset by a 3% decline in overall selling prices due to a soft lumber market and pricing pressure on the site-built market. Reviewing by market, our sales for the DIY market increased 10% compared to the fourth quarter last year, primarily due to unit sales growth as a result of our acquisition of Aljoma Lumber. Sales out of existing facilities were only down 1% compared with the same period last year, in spite of challenging market conditions as a result of market share gains we realized with big-box retailers, offset by lower sales to other retailers whose businesses more closely correlated with housing starts. Our sales for the manufactured housing market increased 8% for the quarter due to a 9% increase in unit sales partially offset by a 1% decline in selling prices. Our acquisition of Banks Lumber provided all of our unit sales growth this quarter and made up for soft, modular and HUD market conditions which resulted in a decline in unit sales out of existing facilities. The industry reported a decrease in HUD-code shipments in October through December of 3.5%. Our sales to the site-built construction market decreased 16% this quarter due to a 7% decrease in unit sales out of existing plants and a 9% decrease in our average selling prices due to a soft lumber market and intense pricing pressure. Single-family housing starts for the quarter were off a reported 32%. Finally, our sales to the industrial market increased by 16% for the quarter primarily due to an increase in unit sales. Unit sales growth this quarter was a result of acquisitions and continuing to add new customers including concrete forming which helped offset the effect of a decline in sales to certain of our customers that supply the housing market. Moving down the income statement, our fourth quarter gross margin decreased to 10.1% from 13.7% last year, and our gross profit dollars decreased almost 24%. These declines were primarily due to greater pricing pressure due to the market conditions, particularly on sales to the site-built market, and sales incentives offered to gain market share. Selling, general and administrative expenses decreased by over $300,000 for the quarter. Acquired operations caused our SG&A to increase by over $1.2 million, and we recorded severances of approximately $2.1 million. These increases were more than offset by a decrease in the SG&A of existing operations of almost $3.5 million. Our operating income was off approximately $23 million for the fourth quarter due to the factors I just mentioned, combined with a $6.8 million impairment charge against fixed assets related to closed facilities and real estate held for sale. The decline in our operating profit was primarily due to this impairment and a decline in profits of our plants that primarily serve the site-built construction market. Our effective tax rate was 29% this quarter compared to a $200,000 income tax credit last year. This quarter’s rate was impacted by the impairment of fixed assets we recorded in our Canadian subsidiary because we were not able to record a tax benefit against that loss. You might recall that our tax provision last year was positively impacted by a $4.5 million research and development tax credit covering several years offset by a $1.1 million valuation allowance recorded against the deferred tax assets. Moving on to our cash flow statement, our cash flow from operations totaled $87 million for the year which was primarily used to fund capital expenditures and purchasing the stock of Aljoma Lumber last February. Despite a 3% increase in sales for the quarter, we were able to reduce our accounts receivable in inventory. These improvements were partially offset by a decrease in accounts payable related to lower inventory levels and a decrease in accrued liabilities due to a decline in accrued incentive compensation. Few points I would like to make about the balance sheet. First included in long-term debt there was $55 million outstanding on our 5-year credit facility, which has a remaining availability of $214 million after considering the amount outstanding and amounts reserved for letters of credit. Our leverage ratio was 28% compared to 25% a year ago. Our trailing 12-month average debt to EBITDA was 2.1 times versus 1.1 times a year ago. And subsequent to year-end we sold over $24 million of the assets classified as held for sale for cash. I’ll conclude with a review of our targets for 2008. As mentioned in the press release, we’re targeting net sales of $2.45 to $2.55 billion, which includes the anticipated sales of International Wood Industries which we just acquired. We are also targeting net earnings of $22 to $27 million. In addition we anticipate that depreciation and amortization will total approximately $49 million for the year and capital expenditures will range from $20 to $25 million. That completes my comments.
William G. Currie: Thank you very much Mike. And now turn it over to Mike Glenn for business review and outlook.
Michael B. Glenn: Thanks Bill. It doesn’t seem too long ago when in one of these calls you talked about the perfect storm of opportunity that was driving our business to new heights. Well, today we have a different kind of storm. It’s a one that unfortunately a lot like the movie. But let me assure you of something. This ship may get battered a bit but we’re staying the course and we will be ready when the seas calm a bit. The fourth quarter was a tough quarter. That was a tough ending to a tough year. There is no good news on the housing market front and I am not sure we have seen the bottom and we won’t see a turnaround begin until next year. Manufactured housing isn’t as healthy as we had hoped and some of our customers have closed plants. DIY has been affected by the downturn in housing and we expect it to be soft in 2008. And the lumber market is one of the lowest levels in decades. In fact, the last time lumber traded at these levels based on the composite was in 1991, 17 years ago. And it’s having a major impact on our selling prices and our ability to be creative with our cuts and yields in ways that benefit our customers and our bottom line. Now that I have the bad news out of way, there are a lot of good things to talk about. First, there is industrial which continues to be a bright spot for us and it’s even brighter with our entry into the concrete forming market, which I’ll talk about in a little bit. Yesterday we announced the acquisition of International Wood Industries. This is a company that we have been talking to for some time. IWI is a great addition to Universal. It is nearly 40 years of history and success has great products and solid leadership. We know that they will add to our bottom line of our success quickly and we welcome them aboard. The proposed financing for manufactured housing will help that industry and any boost that industry is a boost to our business and success given our commanding market share in manufactured housing. Our consumer products portfolio offers many reasons for optimism and opportunities for growth. In fact our new treated wood MicroPro is really taking off and gaining acceptance by more and more customers and consumers. And our focus on growing the culture of continuous improvement is making our operations leaner, more productive and more exciting than ever. Our employees are engaged in our future and opportunity in ways I don’t think I had imagined. In the fourth quarter we picked up share in all our markets and increased our sales in three of them. We put six closed plants up for sale and mothballed eight others, moving production to other nearby facilities. So in essence we reduced our operating expenses while maintaining the business. We know our business; we know what we have and where our opportunities and challenges lie. We are just fighting for less, less business and less margin. Fortunately we have more going into the ring than most of our competitors. Now I will review our performance in our markets and talk about what we are doing to grow success. Let’s start with site-built construction. There is not much that I can say here that you haven’t already heard. This industry needs some Prozac. The impact on our families and communities of weak home sales and falling prices and foreclosures has been devastating and that’s not to mention the impact on our companies and economy nationwide. In December single-family starts were down 28.6% on a year-to-date basis. So we are focused on getting more balance in our site-built market by growing our multi-family and light commercial business. Balance is important to our business model in each of our markets and the weakening of single-family housing was a wake-up call for us to return to a strong balance in site-built and that’s exactly what we’re doing. We’re focused on being a strong supplier to existing customers and growing relationships that will help us grow within each of them when housing market returns. And we’re doing whatever we can to improve margins by improving our efficiencies and working closely with customers and programs that focus on mutual success. Unfortunately, we’re playing against suppliers that are willing to sell below cost and that will continue to hinder our margins and success. Looking ahead most industry analysts have lowered their forecasts based on existing inventory, the impact of foreclosures and more stringent lending standards. The Mortgage Bankers Association is forecasting another 26% decline in single-family starts in 2008 and building starts will bottom out late in the third quarter. The NAHB is essentially saying the same thing and most analysts expect that recovery to begin sometime in 2009 and we think their targets are right on. When the market does return, it will be at a more modest but sustainable pace. That’s why we’re focused on balancing our business in site-built by growing our opportunities in multi-family and light commercial construction. It’s a more sustainable growth strategy that opens other doors of opportunities for our products, service and expertise. And lastly it won’t surprise me to see some players to begin exiting the market. When this happens we’ll see relief in price pressure and we’ll have the opportunity for more business when housing recovers. Let’s look at DIY. This has been a great market for us but has had intense price pressure. Our customers have been aggressive with their price demands but we won’t go backwards. So we worked hard to maintain balance with them to ensure long-term mutual success. We are excited about a number of our operations including Aljoma, which we acquired in early 2007. Aljoma, which is near Miami, continues to be a bright spot for us. Even though the Florida housing market is terrible, Aljoma is the only treating plant in South Florida, which puts us in a great position when the Florida housing market returns. In addition Aljoma is opening doors to export sales in the Bahamas and the Caribbean. In fact in 2007, it was Aljoma’s third best year ever for business in the Caribbean and really it was their best in a non-hurricane year. Very soon we will open a distribution center in Puerto Rico to handle the big-box business in the Caribbean market. We are also well positioned to grow our industrial business out of Aljoma, which is strategically located near the port of Miami. Then there’s our new treated product, ProWood Micro, which we continue to be very excited about. ProWood Micro has a clear look, not green look you used to associate with green lumber or treated lumber. It took a while but people are starting to understand it and they like the product and this clear look. And we’re starting to sell more. More and more independent customers are buying from us in more markets. And another thing about ProWood Micro is that it’s made with the only treating chemical to be recognized as environmentally preferred product, which will likely have clout in today’s marketplace. In addition, our composite products continue to grow in popularity. In fact we picked up between 5 and 700 additional truckloads for the coming year. We are also starting to look at potential synergies between site-built and DIY for some of our engineered wood products. So what’s our outlook for the DIY? Analysts expect little growth in the market and we see the same thing, basically a soft market in 2008. In fact the Harvard study recently released their remodeling activity indicator and it said that home improvement would fall by an annualized rate of 2.6% through the fourth quarter of 2008, basically because of tighter credit and falling consumer confidence. We expect our DIY business to pick up in 2009 and beyond as home ownership and turnover begin to increase again. We have a portfolio of outdoor living products that’s second to none that offers products for the spectrum of budgets and tastes. We continue to be well positioned as the largest wood treater in the United States. We have significant relationships with the big-box and independent customers from coast to coast and we have a nationwide footprint and strong purchasing power that allow us to serve our customers better than anyone in the country. Now let’s look at manufactured housing. The bounce that we saw late in the third quarter and early fourth didn’t hold. The market is simply weak. Others are feeling the impact as well and some of our customers have shut down some of their operations over the past few months. But while year-to-date fourth quarter HUD-code shipments were down more than 19%, Universal’s year-to-date HUD-code sales increased by more than 7% for the quarter. And our RV segment grew by 50% in the fourth quarter over 2006, due in part to our November 2006 acquisition of Banks Lumber and our previously mentioned strategy to grow our RV share. So what do we think looking forward? If it’s approved by Congress the new financing will have a positive impact for our business by mid-2008. We continue to look for opportunities and move deeper into the home with products like interior doors and millwork. This provides some opportunity for growth as we maintain the commanding share with the products we’ve traditionally offered to this market. Now let us talk about industrial. Industrial remains a bright spot in our business, that is, opportunities at every turn. As I mentioned earlier we closed on the acquisition of IWI earlier this week. IWI includes operations in California, Alaska and Hawaii to handle its international business opening new markets for Universal. In April of last year, we got started in the concrete forming business and by the end of the year we grew that business by over $25 million. We expect to grow it to $80 million in 2008 because this business is there and it’s right in our wheelhouse. We’ve also created a strong motivated sales organization modeled after our successful industrial sales organization. They are hungry and they are going after the business. Looking ahead we continue to see great promise and opportunity for strong growth in this market. We’re adding capacity at many plants and increasing our sales firepower because the opportunity is abundant. We also continue to keep our eyes open for other acquisition opportunities. So that’s the business update and outlook. Summary, single-family housing will remain weak for 2008. We believe a turnaround will begin in 2009. We will continue to focus on creating balance in that market by growing our business with multi-family, commercial and construction customers. We also are working hard to maintain a strong relationship with our existing customers and help them through these tough times so that we can grow with them when single-family housing returns. In 2008 we’ll be challenged by the economy by continued margin pressure and a very, very weak lumber market. We are pushing hard for every bit of business and we are focused on enhancing our profitability by working hard to improve efficiencies in margin. And as Bill said, we really don’t like the conditions of the markets but we like our position and we are energized and confident as we move forward through 2008 into better horizons.
William G. Currie: Thank you, Mike. We are all very proud of this company and working very hard to achieve the results and our management team is second to none. I thank all of you for your interest and now I will open up the floor for questions. 
Operator: (Operator Instructions) Your first question will come from the line of Michael Cox - Piper Jaffray.
Michael Cox - Piper Jaffray: I’d be interested if you could comment on the gross margin conditions you are seeing in the non-site-built areas of your business.
William G. Currie: Mike, we are seeing pressures in the DIY business. Everybody is kind of fighting for a little bit of market share. And really what’s happened in the marketplace is traditionally there are spreads between, I don’t want to get too technical here, but there are spreads between different grades of lumber. And so our model was built on taking advantage of those spreads by doing cuts and yields by buying maybe some low-grade lumber, cutting it up and chopping it up and pulling different grades out of it, and what’s happened right now is those spreads have compressed. And so the difference between number four lumber and number three, and number three and number two, and number two and number one have really compressed and there’s not a lot of difference between them right now. So that’s impacted our margins as much as our competitors chasing us.
Michael Cox - Piper Jaffray: And within industrial, are the margin characteristics there also challenging?
William G. Currie: Yes, it’s a little bit of the same thing. Our advantage was that are pretty creative on how we do some things, plus we imported quite a bit out of Honduras and Brazil, and a lot of that advantage has kind of dried up with what’s happened with the lumber market and what’s happened over in Brazil. So we still have a major advantage over our customers in terms of our expertise, but a lot of our margin opportunity has shrunk.
Michael Cox - Piper Jaffray: You have a done a very nice job in managing working capital through this downturn. I am curious as to what opportunities do you still have as you look to 2008. And then a follow-up on that, the receivable dates have remained very steady. I was just wondering if you could talk about the overall health of your customers particularly in site-built and perhaps manufactured housing.
Michael R. Cole: Yes, with respect to working capital and inventory, we have a goal of increasing our inventory turns by 10%. That’s part of our 2010 goals and it’s one we are starting to make progress on. Started to in the fourth quarter and would expect that we’d continue to make progress on in 2008 and beyond. With respect to DSO, yes it has remained pretty flat. We have had some pressure though on the DSO for the site-built market. That’s extended out a little bit. The other markets have offset it. So that’s still an area of risk and concern for us, but we manage it very carefully.
Operator: Your next question will be from the line of Mukul Kochhar - Oppenheimer.
Mukul Kochhar - Oppenheimer: In site-built construction, are you profitable at all at this point? Are you making any money?
Michael R. Cole: In fourth quarter we were not profitable on site-built, no.
Mukul Kochhar - Oppenheimer: And secondly how much has the margin declined in the current cycle in that segment, any quantification on that?
Michael R. Cole: Well yes, it’s about nine margin points.
Mukul Kochhar - Oppenheimer: Is there any expectation in the near-term that suppliers will probably stand back and say this just doesn’t make sense?
William G. Currie: A lot of our competitors are just working for payroll. So it’s a matter of when they say “uncle,” but Mukul, I would say that we’re going to fight this for at least the first six months of the year.
Mukul Kochhar - Oppenheimer: On the new business in multi-family and light commercial how will you characterize profitability there?
William G. Currie: Well its certainly better than our single family. Our key to that is not just that we sell the trusses and the loose lumber but we come in and frame the whole deal. So we bundle it and we bring a whole package to it and that gives us a lot more opportunity.
Mukul Kochhar - Oppenheimer: Right, and profitability, generally, is it much better I think?
William G. Currie: Right now it’s better, yes.
Mukul Kochhar - Oppenheimer: And long run, but you expect single family probably to be more profitable or roughly comparable?
William G. Currie: Well I don’t know if we’ll ever go back to the days of where we had our plants that we’re totally focused on production builders in single family. We are going to go back like our business model is in all our other segments and we will maintain a balance in that business. So we will always have some single family and we will always have a multi-family and light commercial. It will be very difficult for us to answer that question but when you blend them all together because they will feed off of each other, so we think that model in itself will strengthen us and increase our margins as a whole.
Mukul Kochhar - Oppenheimer: On the DIY right, I mean, normally as lumber prices go down you would expect gross margin to expand. What’s happening there and is it that any improvement there is being completely swamped by other factors like pricing pressure?
William G. Currie: Well, what’s happened is the big-box fellows also have a tremendous amount of pressure on them right now for earnings, and so through negotiations this year with those individuals, they put a tremendous amount of pressure on us to reduce. We weren’t so much concerned about our treated products, but all the other products that they came after, the fencing and our strips and our facia. Those took a tremendous amount of price pressure, deck necessities. So we lost a little bit of margin in there right now and that’s what we are talking about.
Mukul Kochhar - Oppenheimer: And IWI when would you expect this transaction to be accretive?
William G. Currie: No, IWI will be accretive immediately.
Mukul Kochhar - Oppenheimer: In terms of your composites business, is there any quantification on the kind of growth that you are seeing there?
Michael R. Cole: Quantification on the growth for composite business was up 20% this year.
Mukul Kochhar - Oppenheimer: And finally the industrial growth is that primarily coming just from concrete forming?
Michael R. Cole: Is it coming just from concrete forming? No, it’s really not just from the concrete forming. It’s certainly a part of it though.
Operator: Your next question will come from the line of Steve Chercover - D. A. Davidson.
Steve Chercover - D. A. Davidson: First question the facilities that you are selling, is there any chance that when the market perks up that these will be competing against you? I mean I fully recognize that your cost structure is going to make it tough for someone to walk into your old plant and beat you. But will they compete against you?
William G. Currie: We won’t sell those facilities to folks that will have the opportunity to compete against us. Just the property and buildings, we are not selling the assets, the equipment.
Steve Chercover - D. A. Davidson: On the manufactured homes, I was under the impression, I guess as recently as September or so, that you were seeing growth in that business. Not just because of the acquisition of Banks but because folks who had kind of migrated from manufactured homes into starter homes were now coming back. Did something change there or was it the economy in general or what happened?
William G. Currie: No that’s correct. And I think you’ll see that the growth in manufactured housing is back to the single-wide. That’s true, but what’s happened in the fourth quarter early now is everybody is getting a little skittish and they’ve backed off. And that’s why it’s really important for us to have this FHA financing to get approved by Congress.
Steve Chercover - D. A. Davidson: So, is it still your belief that longer-term kind of the marginal first-time homebuyer has in fact been pushed back legitimately to the single-wide market?
William G. Currie: Yes.
Steve Chercover - D. A. Davidson: But, you guys do strive to give us guidance and at the end of third quarter you suggested that we would come in between, call it break even and $0.15. And then when you gave us your pre-release outlining the charges on the 21st, you didn’t mention that the organic business or the standalone business was going to be a loss in its own right, which I compute to be around $0.22. Why did you not at that time take the medicine and say, “And by the way, our previous guidance is not going to hold in this environment.”
Michael R. Cole: Well, Steve, we didn’t know exactly where the fourth quarter was going to come in at. So, when you’re going through the year-end, you are going through a more expensive process to close your books, you are going through an audit. And without knowing with some better certainty exactly where we were going to end up, we didn’t feel like it was appropriate to come out with preliminary numbers like that.
Operator: Your next question will be from the line of Chris [Wyness] - Wachovia.
Chris [Wyness] - Wachovia : Can you give us a little bit of color on the revenue line as far as across the segment, how revenues trended during the quarter and maybe any insight on January as well?
Michael R. Cole: Well January isn’t closed out yet and so we’re not really prepared to talk about January. But within the quarter, October started out pretty good and then things deteriorated in November, and December was much softer.
Michael B. Glenn: I would say that the weather here in the first quarter hadn’t helped us.
William G. Currie: Yes, that’s really impacted our business.
Chris [Wyness] - Wachovia : When you guys said that you had picked up some share with some big-box customers and is that general geographic expansion or is that just more product kind of getting pushed through existing stores and that kind of stuff?
William G. Currie: Well, a bit of both.
Chris [Wyness] - Wachovia : Okay and what kind of products are you seeing take hold with that kind of market share expansion?
William G. Currie: You know like I’ll give you one example and that is in the Rocky mountain area, we picked up $2 to $4 million worth of cedar picket business. That may be one, yet when you go to California we may pick up a fence panel business, or if you go to Texas it may be 1x2’s and 2x2’s. So that’s-it’s all over the board. We supply them with over 2500, 3000 skews and we’re picking up different skews in different markets.
Chris [Wyness] - Wachovia : Mike, I think you’ve mentioned how much that your form business had grown in ‘07. Did you have an actual number? I think you guys read about $40 million at the end of Q3 if my memory serves me right as far as what the total revenues from that business were in ‘07.
Michael R. Cole: Yes, between $40 and $45 million.
Chris [Wyness] - Wachovia : Can you give us an average share price you guys paid for your re-post?
Michael R. Cole: I think it’s about $30 bucks in the fourth quarter. You should have the numbers from the Qs from the previous quarters.
Operator: Your next question will be from the line of Robert Kelly - Sidoti.
Robert Kelly - Sidoti : Just a question on the price pressure, is it confined now to the straight lumber packages that you are selling? Are you seeing it slip over into the more value add stuff as well?
William G. Currie: It’s across the board. Everything is under intense price pressure.
Michael R. Cole: Within site-built, it’s all product line.
Robert Kelly - Sidoti : So the value-add mix is moving down from ‘06 levels?
William G. Currie: Yes.
Michael R. Cole: Yes, our value added sales in that, we hadn’t mentioned that previously, but our value added was about 59% of total sales this quarter versus about 64% last year.
William G. Currie: Just to illustrate what’s happened in the business. Two years ago we had about 27 billion square feet of OSB was manufactured, and that supplied about 2.1 housing starts. This year, they are going to manufacture 25 billion square feet, the supply, what do you figure a million housing starts? I mean the chance for prices to get off the floor is almost impossible.
Robert Kelly - Sidoti : That soft lumber pricing outlook is included in your ‘08 outlook I assume?
William G. Currie: Yes, correct.
Robert Kelly - Sidoti : The free cash flow, the guidance you have given with net earnings, D&A, CapEx, $2.60-$2.70 a share. How we are going to prioritize the excess cash flow this year?
Michael B. Glenn: We are still actively pursuing some acquisitions. So, some will go towards that and we will be back in the market on our shares when we are free to do so.
Robert Kelly - Sidoti : The IWI acquisition, was that paid for with cash or debt?
Michael R. Cole: The cash from the sales of the properties I mentioned, that will basically fund the IWI acquisition.
Robert Kelly - Sidoti : There was some talk at least on the composite market of price increases for ‘08. Are you seeing a market that would allow that type of price increase through or some color on the composite market?
William G. Currie: We did get a price increase. It was a modest one, but we did move our prices north.
Operator: Your next question will be from the line of [Ted Crawford] - Maple Leaf Partners.
 [Ted Crawford] - Maple Leaf Partners : What is your maturity schedule in ‘08 and ‘09?
Michael R. Cole: In ‘08 we have an $79.5 million maturity on our senior notes. And I would expect to be able to generate enough cash flow to pay off a portion of that and then we would be able to use a revolver to refinance it or term it out in the debt markets.
[Ted Crawford] - Maple Leaf Partners : Okay, and ‘09?
Michael R. Cole: I don’t have ‘09 in front of me but we do have some more maturities in ‘09 but not nearly as large.
[Ted Crawford] - Maple Leaf Partners : What was the availability on your credit facility?
Michael R. Cole: What is the availability on our credit facility? Right now the remaining availability is $214 million. It’s a $300 million revolver.
[Ted Crawford] - Maple Leaf Partners : Do you expect to draw on that other than applying it to refinancing these maturities?
Michael R. Cole: That and seasonal working capital, so we have seasonal working capital that our inventories and receivables go up a lot during the primary selling seasons through July, and then our debt moves back down very significantly from July through December. So during that period of time from March until July we will have seasonal working capital, which we will use our revolver for but we’re off of that by December.
[Ted Crawford] - Maple Leaf Partners : What was your maintenance CapEx in ‘07?
Michael R. Cole: Our maintenance CapEx in ‘07 was in the neighborhood of $30 to $35 million.
Operator: With no further questions in queue, I will turn the call back over to Mr. Bill Currie for closing remarks.
William G. Currie: Okay thank you all again for participating on our call. We’re trying to be as candid and honest as we can about the markets but also we’re pretty optimistic and excited about were we sit and how we’ll come out of this. So appreciate your support and your interest and we’ll get back to work. Thank you very much.